Operator: Good day everyone and thank you for joining us to discuss the Equity LifeStyle’s Property First Quarter Results. Our feature speakers today are Tom Heneghan, our CEO, John McAdams our President, Michael Berman our CFO and Roger Maynard our COO. In advance of today’s call management release earning, today’s call will consist of opening remarks and a question and answer session with the management, relating to the company’s earnings release. As a reminder this call is being recorded. Certain matters discussed during this conference call may contain forward-looking statements in the meaning of the Federal Securities laws. Our forward-looking statements are subject to certain economic risks and uncertainties. The company assumes no obligation to update or supplement any statements that become untrue because of subsequent events. At this time, I would now like to turn the call over to Tom Heneghan, our CEO. You may proceed sir.
Thomas Heneghan: Thank you all for joining us today. Good morning. I am Tom Heneghan, Chief Executive Officer of Equity LifeStyle Properties. I would like to make a few comments and than turn it over to Joe McAdams, our president. After his comments, we will open it up for your questions. Our first quarter, that we reported this morning, shows the stability of our business. We have long talked about our quality real estate locations, the positive demographic trends of baby boomers and retirees, the flexibility of our housing and lifestyle offerings and our desire for predictable and stable cash flow. We like our business and our future prospects. We also continue to believe that a key to realizing our potential is to improve our sales and marketing capabilities. After my remarks, Joe will discuss some recent initiatives aimed at improving these capabilities. However, we believe that significant destruction in the credit markets, and the related fiscal and monetary responses, including both those under discussion and those that have been implemented, are creating additional volatility and uncertainty. In addition to the immediate impact of actions taken by financial institutions and policy makers, there are also significant ripple effects that take time to present themselves. Moreover, it is challenging to gauge how these ripple effects, for both past actions and the anticipation of future actions, will positively or negatively impact our business. In response to these conditions, we have heightened our focus on those actions that we can take in the near term to reduce uncertainty, react to opportunity, and create stable and predictable cash-flow streams. We are confident in our business plan and over the long-term, we believe we will be able to react to the changing economic environment. I now will turn it over to Joe for his comments.
Joe McAdams: Thank You, Tom. My first 100 days on the job were quite busy. By focusing on sales and marketing I believe I can create value for the shareholders of ELS. I am a customer centric manager. Any success I have achieved over the last 30 years has been predicated on determining the customer needs and developing a value proposition that serves those needs. I believe in customer data and in customer discovery. We held a two-day strategic planning meeting in mid February with the top six ELS executives and the top five managers at Privileged Access. Out of that session came five strategic initiatives: first, sales, and marketing platform. As I stated at the onset, we are focused on sales and marketing. Our first step is to retain the Axion Corporation to develop a customer data warehouse. This initiative will include developing a profile of our present customer segments. We will use these profiles to develop marketing campaigns aimed at specific segments. Lead tracking: we are focused on improving our lead generation capture and follow through processes. To facilitate this, we are developing a feel level lead tracking discipline in improving our centralized lead tracking system. Thirdly, we are revamping our sales process to take advantage of the lead profile being generated for ELS’s home sales activity. This effort is concentrated in Florida. We are referring to this program as the Whole Ownership Program to distinguish home sales from other ELS and Thousand Trails products for sale, such as memberships and fractional sales. Our intention is for the sales process to begin with a developed lead profile to ensure that the sales team is meeting with prequalified customers. Lead generation will continue conventionally, while newly generation will be the result of a coordinated marketing process. The new data base system will enhance this process as well. In addition, sales training, accountability, professional presentation, and follow up are being enhanced at ten Florida ELS home ownership sales locations. Finance and insurance tools to aid sales have been initiated. The fourth strategic task is occupancy; we are focused on gaining incremental occupancy in our MH portfolio. We have identified a number of options for addressing occupancy, in addition to the renewed efforts on the sale of whole ownership. These auctions include purchase of new homes for rent, fractional sales, and favorable financing terms, among others. Based on the current market conditions, we have determined that it is appropriate to pursue new home rentals in a limited number of age-restricted communities, in order to incrementally increase occupancy and to continue new home rental activities in California, given the substantial market rent availability. We believe in connection with other customer identification strategies mentioned. We can create access to our properties through home rentals, fractional use, and financing that will introduce quality customers to our communities and the lifestyles that we provide. While our sales effort is undergoing the revitalization that I’ve described, we believe that we may be able to rent a large amount of inventory, help for sale on an annual basis, at acceptable returns; thus putting this inventory to productive use and bringing prospective buyers to our properties. Our goal, as it has always been, is to create long-term stable cash flow, starting with a quality, credit worthy customer who is attracted to our lifestyle choices. The last initiative is cross-marketing opportunities. This effort concentrates on cross-marketing opportunities within ELS and Privileged Access resorts. The initiative will focus on opening up PA resorts to encore and RV On The Go customers in selling memberships at ELS resorts. This initiative involves centralized websites and advertising in addition to maximizing online audience engagement. Obviously, these are challenging times, but we are well positioned. Our portfolio contains high-quality assets in locations that remain attractive for the long run to the baby boomer demographic, and provide this customer with a range of active outdoor lifestyle opportunities that they desire, including home ownership. Moreover, our product remains relatively affordable to those who do not want to commit large dollar amounts to their housing, whether it be their primary living situation, a second home, or a get away cabin. Let me now address the RV business. Once again, we find ourselves well positioned in a challenging environment. We serve the 8 million installed bases of recreational vehicle owners who have invested substantially in their vacation vehicle and continue to use it in the pursuit of their passion. This is reflected in our first quarter core RV revenue growth of close to 5%. However, approximately 18% of the total RV revenue is transient, which is more sensitive to the economy. Our first quarter seasonal and transient business held up very well, but our guidance for the remainder of the year reflects slightly down, or flat revenues, in this category, especially considering our intent is to convert more sites to seasonal or annual usage from this transient user. With respect to Thousand Trails, we were disappointed in the first quarter’s financial performance. EBITDA performance was flat to ELS lease payments, primarily due to higher costs in anticipation of revenue that failed to materialize. We will be addressing adjusting our future spending within the next 30 days. Thousand Trails is a cyclical business, with the second and third quarters accounting for the majority of the sales in EBITDA. I have focused our management team on customer needs, sales and marketing, lead generation and lead tracking, as well as occupancy. I believe that we’re moving in the right direction in these areas. This focus is intended to create long-term stable cash flow by putting our existing inventory to work and by allowing us to keep our communities and product vibrant by investing in new inventory where needed. The most important things to remember, from my perspective, is that we have great real estate locations, we’re focused on super demographics, and we’re doing the right things, which will eventually give us the right results. Stay tuned.
Thomas Heneghan: I think now we’ll open it up for questions. ----------------------------------------
Operator: (Operator Instructions) Questions will be taken in the order received. Your first question comes from Greg Meltzer of Citigroup. Please proceed.
Craig Meltzer-Citigroup: Thank you. My first question is on the home renting initiative. You mentioned the returns, you’re looking to [indiscernible] you would look, they get on that business and how you would think about the potential for the value of these homes to decline over time and how the returns look after considering that.
Joe McAdams: You know we have a financial model that we look at that takes into account the site rent, the home rent, that we expect to get, the expenses associated with it we do it on a three to five year basis. We assume deprecation of that home upon exit at the end of three to five years that’s in line with our perceptions of home values and we model out IRRs order magnitude in the 15% to 20%, depending on where you are in the country. I mean, that’s just the first cut that we take at it, but that’s kind of the basic financial modeling that we’re looking at.
Craig Meltzer-Citigroup: Okay and should we expect you to buy additional homes, or is this just to work through the existing inventory of homes?
Joe McAdams: Well, in terms of our rental business, over the past few years we’ve marginally increased our rental activity of new homes in light of the current economic environment. We’ve been using this tool to help us maintain and hopefully increase our occupancy level. Now keep in mind that with respect to this new home activity, we’ve restricted the activity to California, given its high rent structure, which is a program that we put in place last year, and certain retirement communities in Florida and Arizona. In Florida we would probably utilize some of the existing inventory that we have, California has very little inventory now, we generally will buy at the margin if we need it for rental and Arizona has also a place where we would be willing to purchase inventory at the margin, given the relatively strong sales effort that we have there.
Craig Meltzer-Citigroup: How many homes are you currently renting?
Joe McAdams: It’s about, new homes about 250, 275 new homes.
Thomas Heneghan: Craig, if I could just interject here with respect to this issue. I think it is ELS reacting to the current environment. We have long kind of looked a little bit negatively on doing any type of renting of the structure, but in today’s economic environment, you’ve seen the last two securitized lending platforms essentially shut down, close their doors. Not that an ELS customer was relying on that type of financing through the Chattel on securitization, but you’ve also seen significant tightening with respect to bank lending, even in our age restricted communities; in fact, their tightening and cherry pickings on the loans, giving the quality of the potential customers. You’re saying, what I would call, when I first started the call, the comment to the ripple effect, I mean if you looked at what was going on with those securitizations, and the Chattel financing, you were seeing extremely good loan performance. You were seeing default rates at 3% or less, loan to values in the 80% range. So the fact that they shut their doors wasn’t attributable to the fact of poor loan performance, it was attributable to the ripple affects of a tightening credit environment. As a result, we’re trying to react to that environment and use a little bit more of our balance sheet in a way that maybe we wouldn’t have looked at it before. You can bet we are looking at it closely, but from the early results that we’ve had, we’re seeing some positive ability to put our capital to use in a way that is comfortable for us long term.
Craig Meltzer-Citigroup: Okay, thank you for the color. On the home sales business, you guys’ last quarter assumed that business to be a flat contributor to FFO. If you could just provide an update on that and maybe comment on the negative gross margin in the first quarter and what your expectations are for that for the balance of the year.
Thomas Heneghan: Well I would say that we’re going to give Joe’s initiative some time to work for us, particularly down in Florida. Our guidance range is $0.15, there is a lot of room in that guidance to take into account the wide variety of scenarios on the home sales. Clearly, we were disappointed in the first quarters numbers, but sitting here today looking ahead, I think we have to give the team a chance to do what they’re going to do and we’ll get back to you on the next call.
Craig Meltzer-Citigroup: Thank you.
Operator: Your next question comes from Paul Adornato of BMO Capital Markets. You may proceed.
Paul Adornato-BMO Capital Markets: Oh hi, thanks. I was wondering if you could give us a little bit more color on the higher costs in the Thousand Trails segments?
Joe McAdams: The 2000 in sales at Thousand Trails were very robust. Consequently, we increased our investment spending even greater in hopes of further stimulating sales in 2008. Our winter season is a very slow time, with a limited amount of sales operations open. Actually in December, January and February, we had less than 35% of our resorts open for sales and it’s in limited geography. However, this seasonal pattern begins to pick up quickly in March, April and May and then through the summer. By this time in April we had roughly 75% of our selling resorts operative. Now, our key business metrics were telling us that the winter sales were sluggish. The costs for acquiring a prospect and the sales costs were going up. However, we wanted to look at a full six weeks of overall sales data before reacting. We now have almost enough empirical data in every geographical location to analyze and reduce our cost. Let me remind you that the front line sales and naturally the initial sale of a membership, that’s the area that we’re most challenged. It is a very low margin sale and accounts for approximately 15 to 18% of our total revenue. It is a discretionary purchase and it’s commonly correlated with the consumer confidence index. We have the flexibility to adjust cost to make up most of this sales shortfall.
Paul Adornato-BMO Capital Markets: Okay, so to summarize, most of those costs might be in advertising and personnel expenses related to sales effort? Is that a fair way to characterize that?
Thomas Heneghan: I think they are primarily investments in lead generation and marketing costs in anticipation of creating a higher tour flow to the properties. The tour flow and the close rate, as they started to open up more resorts, was not coming through as they anticipated, so now I think in the future what Thousand Trails is looking at is reducing some of those costs. Again, as Joe mentioned, the real impact is going to be on their front-line type of sale, which is a fairly low margin, almost a break-even type of sale, and they can adjust the cost related to the activity that’s going on in their sales business.
Paul Adornato-BMO Capital Markets: Okay. Just back to the home rental business; is the intent of a home rental to convert that renter into an owner?
Thomas Heneghan: I think yes, but, and let me just say that Joe has kind of pushed and challenged the existing management team to evaluate whether or not a rental customer may be a vibrant piece of an overall view of how to make use of our real estate and create activities within our properties that’s profitable. So, I would say, we may over time realize that having some component of our sites devoted to a rental type of business may be the result of some of the initiatives that Joe has embarked on since he’s been here and again, it’s early in the game. He has been here 100 days and we are going to figure out whether or not that makes sense for this company and I think, if it does make sense, we’re going to come back and report to you as to how much of that rental business will be part of our overall business long term, or whether it is just a stop-gap issue in reaction to the tighter credit environment. So, I think you’ve got to give us a little more time to figure out how that whole thing is going to work out.
Paul Adornato-BMO Capital Markets: What’s the lease length on those rentals?
Thomas Heneghan: It’s generally a year. They are annual rentals.
Paul Adornato-BMO Capital Markets: Okay. Thanks very much.
Operator: (Operator Instructions) Your next question comes from David Bragg of Merrill Lynch. You may proceed.
David Bragg-Merrill Lynch : Thanks. Good morning. I just wanted to touch first on the resort segment. Could you provide the revenue growth breakouts for annual, seasonal, and transient for the quarter?
Thomas Heneghan: Yes. The annuals grew about 6%, the seasonal grew about 11%, and the transients were down about 11%. Keep in mind, David, that with respect to the transients, one of our over riding business objectives is to lengthen the stay of the customer, which requires us to take transient sites out of transient usage and into the other mix.
David Bragg-Merrill Lynch : Right, okay. So, I believe that Joe’s comment was that revenue growth over the remainder of the year, after being up 5% in the first quarter, is expected to be flat?
Thomas Heneghan: We are anticipating, over the course of the rest of the year, on our RV segment, to be about 2.5%, which would put us at about 3 to 3.5% for the full year. Part of those numbers reflect taking out the Appalachian property, they also reflect our conservative views going forward. We have our northern season that’s beginning. There are a lot of annuals now that we have in the north, but also it has a fairly strong transient component and we’ll see how that goes, but sitting here today, that’s kind of what we’re thinking.
David Bragg-Merrill Lynch : Okay. Then previously you had broken out Tropical Palms and provided growth with Tropical Palms and without it. Do you have that?
Thomas Heneghan: I don’t think we have it in front of us, but Tropical Palms for the quarter, again, it’s off of some fairly easy comps to last year, but I think Tropical Palms is up in the order of magnitude 4, 5% for the quarter. I wouldn’t say that’s indicative of strong results, I would just say that that’s indicative of a fairly easy comp to last year.
David Bragg-Merrill Lynch : Okay. Then on home sales, could you discuss the volume growth that you saw there? It was sequentially and actually kind of flat year over year and that, combined with the lower price points, was this a result of cutting prices on the top line, or maybe a mixed shift towards park models?
Thomas Heneghan: First of all, it’s clear that we’re seeing pressure on prices. We have reduced prices in a number of instances in order to potentially stimulate traffic, in order to stimulate sales. The mix and I have the first quarter mix, last year we did about 57 homes on the MH side, the average selling price was about 100, 105,000. This quarter we did 40, the average selling price was in the mid about 85,000. On the RV side last first quarter, it was about 50, average selling price in the high forties. This year we did 60, average selling price in the low forties. Some of that is price pressure, some of that is a different mix of units that we’re selling.
David Bragg-Merrill Lynch : Okay great. Was there a noticeable shift between home sales in Florida and Arizona versus last year?
Thomas Heneghan: The interesting thing that occurred, I would say for the most part, is that Florida went from 17 to 13 in that time frame. The average selling price in Florida was much less. Florida has been the primary market for us to sell larger homes to down-sizers and we’ve lost that. I don’t have all the Arizona numbers in front of me, but I think that the quarter over quarter growth was a little bit. I think we sold roughly the same amount in the two quarters, but I could get back to you on that.
David Bragg-Merrill Lynch : Okay, thank you. Just one last question on Thousand Trails. Joe, you spoke about the difficulty in acquiring customers, but they also disclosed a drop in the number of members and I want to understand, is that a seasonal affect or, at the same time, are you having a challenge retaining members?
Joe McAdams: David, whenever you acquire a membership company there is, what I’ll call a hangover, of members who are on the file who actually haven’t paid dues, or they’re on the edge of cancelling, they are not a real participating member. That attrition, if you will recall, we acquired the mid-Atlantic resorts, which had roughly 8000 members and then we acquired Outdoor World, which has about supposedly 23,000 members. Most of the attrition that you see there, Outdoor World was 2000 and mid-Atlantic was 900.The rule of thumb in acquiring a membership company is that 10 to 12% will fall out over the first two years, so that’s actually what our basic Thousand Trails business is buying, it’s the way it’s been running.
David Bragg-Merrill Lynch : Do you have a target for the number of members for the end of this year that you are working towards?
Joe McAdams: You know it’s almost like managing for EBITDA. You could grow the member file very substantially and it might cost you a fortune, so it’s like magazine subscriptions or anything, you have to manage your growth with your EBITDA. We basically try to hold the Thousand Trails file about, we have a roughly 4.5% attrition there. We would like to replace those members and have a positive. I could grow it like crazy, 10%, but we would have no EBITDA left.
David Bragg-Merrill Lynch : Okay. Thank you.
Operator: Your next question comes from Andy Laroche of Greenstreet Advisor. Please proceed.
Andy Laroche-Greenstreet Advisor: Good morning. Thank you. Could you give us a little more color on the terms of the Fannie financing?
Thomas Heneghan: Sure. We locked 140 million at a blended rate of about 5.8, 5.9%, which is about 50 basis points higher than our rolling-over coupons and that will be hitting our expenses over the course of the last four to six months of the year, depending on the properties, when the loans come due. Then we have about 60 million remaining that’s not with Fannie Mae that we anticipate doing at about 6% and the coupons that are rolling are about 6%.
Andy Laroche-Greenstreet Advisor: On the financing, what’s the term and the LTV?
Thomas Heneghan: The term on the Fannie Mae is ten years, the term on the remaining, we anticipate doing five years, and the LTVs are in the 75 to 80% range.
Andy Laroche-Greenstreet Advisor: On the new initiatives and systems you have planned, how is that going to affect G&A?
Thomas Heneghan: It’s a modest portion of G&A. A number of the items that we’re talking about are really redirecting the existing resources, rather than adding much in the way of incremental new resources.
Andy Laroche-Greenstreet Advisor: Just to remind me, what’s your G&A guidance for full year ’08?
Thomas Heneghan: It’s, order of magnitude, it would be about 20 million.
Andy Laroche-Greenstreet Advisor: Okay, great. I have one last question. On your EBITDA coverage for Privileged Access over your lease payment, what do you expect that coverage to be at the end of this year?
Thomas Heneghan: I would estimate we would target going back towards where we’ve been, in the 1-2, 1-3 range, but that’s going to be a function of how Joes does over at Privileged Access.
Andy Laroche-Greenstreet Advisor: Great, thank you very much.
Operator: Your next question comes from Steven Rodriquez of Lehman Brothers. You may proceed.
Steven Rodriguez-Lehman Brothers: Good morning guys. I have a question on your expense growth, the 5%, do you see that pretty much going forward as a run-rate, or where do you guys see that rate going?
Thomas Heneghan: You know, I would see that ticking down for the rest of the year. Order of magnitude 4%, we think we’re going to have some insurance savings with respect to the rest of the year. I would say some of it’s binding, but the run-rate should tick down over the course of the rest of the year.
Steven Rodriguez-Lehman Brothers: Okay. My other question involves your rent control expense line item. You picked up almost 1 million from the fourth quarter. Could you let us know what’s going on there?
Thomas Heneghan: Sure, there were primarily three items in the quarter that contributed to our expenditures: one were costs for a trial in connection with a rate control case that we won; the second one was costs incurred for procedural actions that we had concerning our Contempo Marin case; we had some motions with respect to a stay requested by the city and we submitted a legal fee petition; I believe we submitted around a $7 million legal fee recovery; and then the third was some accrued costs in connection with another action that we intend to appeal.
Steven Rodriguez-Lehman Brothers: Okay, do you see that going back down over the rest of the year?
Thomas Heneghan: Again, that kind of depends on the activity. It’s one of the more volatile numbers here. I would say over the course of the year we thought we were going to be in the 2 to 2.5 range in terms of spending, I’d probably kick that up to more like 3 over the course of the year, given the first quarter activity.
Steven Rodriguez-Lehman Brothers: Okay, thank you.
Operator: You have a follow up question from Paul Adornato-BMO Capital Markets. You may proceed.
Paul Adornato-BMO Capital Markets: Yes, can you tell us how the rate increases are going so far this year and what’s planned for the rest of the year?
Thomas Heneghan: With respect to the MH communities, the average rate increase over the course of the year, I believe is 3.8%, I’m not trying to be too precise, but that’s the number that sticks in my head and our notice provisions began in the May, June, July time frame for 70ish percent of our portfolio, so we’re gearing up for that.
Paul Adornato-BMO Capital Markets: Okay, thank you.
Operator: At this time, I’m showing we have no questions.
Thomas Heneghan: Well, thank you all for joining us today. If you have any follow up questions, as always, Michael Berman is available to respond to them. We look forward to updating you with respect to next quarter. Take care.
Operator: Thank you for attending this day’s conference. This concludes your presentation. You may now disconnect. Good day.